Veronique Laury: Good morning everyone. Welcome to the Kingfisher Half Year Results for the six months to the 31 July 2017. I am going to start with a quick introduction; I will then pass to Karen to cover the half year financial results; and then back to me for our ONE Kingfisher strategic update. You may remember some of those stats from our Capital Market Day. The first thing I want to highlight is that we - the home improvement market, European home improvement market is a huge market. As you know and as we decided when we started our journey, our play ground is Europe plus and this European market is £240 billion, 60% of that market is home improvement and 40% is [indiscernible]. It’s still a very fragmented market and there is an opportunity for us of course to take market share. The other thing about customer is that 60% of the population in Europe did a home improvement project last year, which is massive and home as we all know is a very important thing to people, it is 30% of the household budget. What is our place in this big market? We are number one or two in each market and we are strong market position in UK, France, and Holland, which are very big in Europe. We have a buying scale of 7 billion that we never used before, and we see that we are starting to do so. We have a strong cash generation with 1 billion of operating cash flow every year. Our balance sheet remains strong, 3.4 billion of freehold property and we are returning almost all our free cash to shareholders with a combination of buyback and dividend. You have seen that slide already. It’s unchanged since we started, but before I will pass over to Karen for the financials, three things that I say you each time. First, this is action and not work. The only thing that has changed is where we are in the plan. And we will come to that. We have delivered all our milestone last year and we are in good track to deliver our milestone this year. It is very different, it is not - its ambition driven, its purpose driven, it’s not about synergies, and it’s about one company culture. And it is was doing it. It will create value for customers and our shareholders. I am going to cover all those areas later on into the presentation except for the operational efficiency and retail operations; I will update you on those two elements at the year-end results. I want now to pass to Karen to present the financial results.
Karen Witts: Good morning everyone and thank you for listening in today. I’m going to take you through our financial highlights for the first half of this year starting with income statement. There’s more detail in today’s release, but I would like to pull out the key highlights in each of our major geographies. Then I’ll move on to an update of the balance sheet and uses of cash. So, starting with the income statement, on a constant currency basis, total Group sales decreased by 1.3% to £6 billion with like-for-like sales also down 1.3%. We estimate that business disruption linked to our transformation work, had a negative impact of approximately 2 percentage points on sales and Vero will cover this is more detail later. At the Group level, gross margins were flat in-line with our guidance for this whole year. The results for the half year include the impact of clearance of all ranges as we make way for our new unified and unique ranges. Before the impact of this clearance, gross margins were up around 30 basis points. Retail profit of £467 million was down 4.6% on a constant currency basis. This was driven by the sales decline, but helped by cost-reduction initiatives, including £10 million of goods not for resale benefit, which helped to mitigate the impact. By way of reminder or underlying metrics are before transformation cost. Underlying profit before tax was £440 million, up nearly 1%. This included £25 million of favorable currency impact. Our effective tax rate increased slightly by 1% to 27% mainly reflecting the geographic spread of the cost of our new offer and supply chain organization. Of the transformation benefits build, we expect the effective tax rate to come down before the end of the plan. Underlying earnings per share of 14.5p were up just over 2%. Adjusted profit before tax of £394 million was down 5.7%, reflecting £46 million of transformation costs charged to the P&L, up from £18 million this time last year. Statutory profit before tax was down 5.9% to £402 million broadly in-line with adjusted profit before tax. I will now cover the key results in our major geographies. In the UK and Ireland, like-for-like sales were up just over 1% with a 2.3% like-for-like sales decline of B&Q more than offset by 11.7% growth at Screwfix. B&Q’s 2.03% like-for-like declines reflects around 2 percentage points of transformation disruption, but includes 1% of sales transparence benefits from the animalization of store closures. Digital sales grew 17% over the six months and now represent 4% of sales. Screwfix's growth continues to be driven by specialist trade desks exclusive to plumbers and electricians, and a strong digital capability with mobile sales more than doubling and click and collect sales up nearly 50%. We opened 16 new outlets in the period taking the total to 533 at the end of the half versus our longer term target in the UK of 700. UK and Ireland gross margins were flat and retail profit was up 1.7%. In France, like-for-like sales were down 4.6% with Casoria like-for-like down 3.5% and Brice Depot down 5.9%. This performance also reflects around 2% of transformation disruption and was weaker than the bunch of transform improvement sales data for the same period. Retail profit was down 14.6%, reflecting weaker sales and a slightly negative sales mix in gross margins, partly offset by good cost control. As we highlighted at the full year results in March, our ONE Kingfisher plan is addressing our underperformance in France and there we will update on progress. In our established other international businesses Poland, Russia, and Spain we delivered a broadly flat like-for-like overall. Sales declined in Spain and Russia though Poland had another good half with like-for-like sales up 3.8% following good trading in a supportive market. Gross margins in Poland were down 20 basis points, but retail profit was up nearly 3%, driving an overall 3.7% increase in retail profit or established other international. And finally, onto our newer development businesses in Romania, Portugal, and Screwfix Europe. Losses of £10 million were £1 million lower than last year and consistent with our guidance of £15 million loss for the full-year. The losses mainly reflect our ongoing investments seen in Screwfix, Germany. You will also have seen that in August we announced that we entered into a binding acquisition agreement to significantly strengthen our position in Romania. The transaction is subject to regulatory approval and is expected to complete before the end of this financial year. I would now like to describe the movement from underlying profit before tax due to statutory profit before tax for the half year. And I will also update on our full-year guidance. Underlying profit is £440 million for H1 includes £10 million of GNFR benefit, but it is before £46 million of transformation cost. These costs largely relate to the remerchandising work associated with introducing our unified and unique offer, including incremental in-store labor costs and point-of-sale change, and to the initial costs of improving our digital capability. Adjusted profit is therefore £394 million, which is before exceptional items. After an overall £8 million exceptional gain statutory profit before tax was £402 million. The £8 million split £5 million of the organization cost relating to our transformation and £13 million exceptional gain relating to the B&Q store closure program. In March, I said I would update you on where we are with the store closure program cost. The total store rationalization program was originally expected to give rise to an exceptional charge of £350 million. This was to cover the closure of 65 B&Q stores, which is now complete and the closure of around 10 loss-making European stores three of which have been closed so far. After finding roots to exit the leases on most of the closed stores, in quarter one last year B&Q entered into a lease liability transaction with a third party to dispose 19 remaining leases. The success of this disposal program means that we now expect a nice exceptional charge to be around £300 million, some £50 million lower than we anticipated at the onset of the program. Of this we’ve recognized £277 million so far. Now, turning to our full-year guidance, at the level of underlying profit we’re still guiding to broadly flat gross margins at group level. This assumes that the cost price reduction benefits we generate from unifying 20% of our cost of goods sold are offset by a combination of clearance cost and net price investments, especially in France. We’re also dealing with the foreign exchange headwinds from a significantly weakened home post the Brexit vote. We expect to deliver £25 million of goods not for resale operational efficiency benefits in the year that’s an increase of £5 million on our previous guidance. Cumulatively by the end of this financial year, we expect to have delivered £55 million of efficiency benefits from this program, transformation costs, and exceptional charges, excluding estate transformation both sit below underlying profit and both falling part of our £800 million total transformation cost guidance. For this financial year, we believe that our P&L transformation costs will be up £230 million, reflecting this year's step-up in the roll out of our unified offers and continued digital start-up work. During the second half of the year, we will be introducing a number of unified ranges with high SKU count, including for example power tool accessories and furniture handles and knobs, which are more detailed and time consuming to implement. We’re guiding to £130 million of transformation cost to be charged to the P&L. This is a bit less than our previous view of £150 million and that’s largely down to facing. Our guidance on the exceptional cost of transformation for this year, which are largely driven by organizational change remains at around £30 million. We still expect the total transformation cost of our plan will be around £800 million. And finally, we are reconfirming that we are comfortable that consensus underlying earnings per share guidance of 26p for full-year 2017/2018 as per our website. So now onto cash and returns. We generated £327 million of free cash flow after investing £129 million in the business. Our half-year net cash position after £46 million of favorable currency movement was £650 million. I’m pleased to report that the board is declaring an interim dividend of 3.33p, an increase of 2.5%. In addition to ordinary dividends, we returned £149 million to shareholders via share buyback during the period. We said that we would return around £600 million over the first three years of our five-year plan. During first year, we repurchased £200 million of shares. So far this year, we’ve repurchased a further £200 million and up to another 60 million will commence up shortly. Based on our cash flow expectations for the remainder of this period and using our existing capital structure framework where we targeted 2 to 2.5 times net-debt-to-EBITDAR ratio we’re still comfortable with the total repurchase of around £600 million. And now onto the uses of cash. In the first half of the year, we generated £556 million of operating cash flow, invested £129 million of this back into the business. The loss to capital expenditure, the group generated £327 million of free cash flow. I’ll update on CapEx guidance for the full-year in a moment. We returned almost all of our free cash flow to shareholders via ordinary dividends of £159 million and £149 million of share buyback. After favorable currency impact of £46 million at the half year, our net cash position was £650 million. Our balance sheet remains strong. Our lease adjusted net debt to EBITDAR ratio was 1.8 times. At this level, the group was financial flexibility whilst retaining an efficient cost of capital. So let’s now turn to guidance on our total capital expenditures, including transformation CapEx. The inner circle on the chart represents £129 million that we invested in the first half of this year and the outer circle represents our revised guidance of up to £375 million for the full year, which is lower than our previous guidance £450 million. Both are broken down by cash decrease as you see on the slide. In the first half of the year, 30% of our overall CapEx spent on refreshing and maintaining existing stores with 11% invested in new stores. We invested 28% of the total on IT as we rolled out our unified platform in the Castorama France stores. We invested more than a quarter of the total on our transformation. This includes store CapEx for our new ranges and higher digital spend as work on our customer journeys has accelerated. We’re now guiding up to £375 million for the full year. This is £75 million lower than our previous view. Our IT and transformation investment remains unchanged, but we have reduced our existing store spend, plus we continue to progress our work on store concert. This year we’ve decided to focus on changing our stores from the inside. So to summarize, in the first six months of this financial year our gross margin performance was in line with our expectation and we expect our transformation cost and our total CapEx for the full-year to be slightly lower than our previous guidance. We ended the first half of the year with a strong balance sheet and we’re continuing to return surplus cash to shareholders as planned. I will now pass over to Vero to update you on our ONE Kingfisher plan.
Veronique Laury: Thank you, Karen. So clearly this update on strategy will be organized around two different topics. The first one is to say that I’m very confident that our one Kingfisher transformation will succeed. And we are delivering it right now. Delivering is happening and the second part will be about our reality today because there is a but [ph], the but is that we are in the first big year of our transformation, of our implementation. And of course as planned, we are having some [indiscernible] underway. So let’s move on [indiscernible] first. Our plan as you know, our plan hasn't changed since we started. I am happy to say that we’ve achieved a lot in a very short period of time. Here are the areas that you know, you need an unified offer, digital operation or efficiency and of course I’m going to talk a little bit about our team that I'm going to cover, and the area where we have met the biggest, the most significant progress. I just wanted to remember that our target of 500 million at least of profit is done through those pillars; 350 million through our unique and unified offer, 50 million through digital, and 100 million through operational efficiency. So, just wanted - this is quite a busy slide, but I just wanted to remind you what is the logic of our strategy, and I think this describes really the logic. Customer benefits we’re going to bring to customer, new products at more affordable prices with higher quality, and with ranges that are going to be similar better merchandised for an easier choice for the customer. This is going to bring us business benefit. We are going to grow ourselves because our offer is going to be better. We are going to get some price reduction because we are going to ask cheaper, less SKUs, less suppliers, and of course because we simplify our business overall we are going to improve our processes. What I want to share with you is that different elements of this is happening right now. What we call early evidence of delivery. First, let’s go about sales. We are seeing volume growth in sales. Two-third of the 44 ranges that we have changed have had a volume growth so far. Our overall unique and unified sale preclearance are broadly flat, our Group like-for-like is up pre-disruption. And as I told you, 44 ranges have been implemented over the first half of the year. The second element of delivery is CPR. We see CPR happening in-line with our expectation, again you must remember that number, the 350 million is calculated by the 7 billion of buying power multiplied by the 5%. We are absolutely seeing CPR coming through in-line with this expectation. The third element, which is probably not the most important than one of the most important is that, our teams and the customer feedback so far is great. And I remember, you might remember as well all the kind of question about can you really sell the same product across the fees. And you will see later in that presentation than from both the feedback we get from customer and the feedback we get from the team, this is possible. And of course the four elements is that we get the simplification we are seeking for with fewer SKUs, fewer suppliers, which will create further later operational efficiencies. So, we are creating a unique and unified offer based on customer needs. We are bringing new products at better prices with higher quality. Let’s check fewer numbers about how we are delivering again that target. We are right now at 16% COGS having been unified and we are at a negative price right now of 20%. We are on track absolutely to deliver the 20% this year, which was always our milestone and we will normally finish the year with negative trait of 30% on those 44 categories that I have mentioned previously. The global SKU numbers and supplier numbers are reduced by 80% through an open and fair tendering process. And our first unique range are lending right now and this is as we always said our real engine for growth with some new great merchandising. But as I told you, probably one of the most important thing to share at this stage because we were not able to share it even six months ago or three months ago because we didn't have enough facts or evidence of it, is that this ID you remember that we could, that customer need were more similar than they were different and that we could sell the same product across Europe is happening right now. Our customers like the new offer. This is an example of the web star rating and you will see that all the new unique and unified ranges are ahead of the old ranges. This is - real advantage is 8000 ratings though it starts to be big enough that we can share with you. And our colleagues really enjoy our new ranges across the piece. But let’s hear from them, what they have to say rather than from me. [Advertisement] So, as we said from the start testimonies are more similar than they are different and you’ve heard that from our both customer and colleagues from Poland, Spain, France, and Romania, but let’s take a couple for example and go deeper in what do we mean and what are the result so far. So, let’s look at the first example that I wanted to share with you, which is about our bathroom furniture. You see on the slide picture from France and Romania and I think what it shows you, you may remember some of it few months ago when we show you some market research and some [indiscernible] in cupboard. This is a reality now, it’s implemented in stores. We are becoming more than a retailer. This is a reality. We’ve designed those products ourselves, then based on our big customer knowledge we own IP, we own the quality, we work on the specification, so bathroom furniture is now widely implemented, except in the UK, but anyway we have to date 47 stores implemented as well in the UK and I will explain later why we’ve done it, a little bit later. It has been finished in the other country by the end of May for furniture and by the end of June for showers, which means that it’s still early days, but we have no doubts about sale and I will share with you some of the performance. First, just about numbers, just to tell you that bathroom and storage, the category, this is a big category this is 1.7 billion of sale for Kingfisher and this is 15% of the group sales on the full-year basis. So this is significant, we haven't been selective of the numbers, on those numbers we are including UK as well, even though UK is not fully implemented. And bathroom and storage is 10% of our total and unified unique sale for H1; outdoor being, just as a reminder 50%. So what the numbers are telling us right now? From 10 other international represent 80% of bathroom and storage sale in H1. Just to give you context, we have eight sub-category in this category. We have [indiscernible] shower, bath furniture, wardrobe storage, garage storage, bathroom accessories, and sanitary ware, which means that shower and furniture are two of those 8 sub-category. The sales have been driven by furniture and showers, which represent 50% of the sales in France and other international. So let’s look at France first. The bathroom furniture is 30% up excluding clearance, and 27% up including clearance. Showers, it’s slightly up excluding clearance, and flat including clearance. July and August, were - those two category has been fully implemented, we saw a big growth and overall in shower volumes are up 9%. So again this is early days, we still have a lot of disruption, we are covering of course all the implementation and the clearance work, but anyway those numbers are more than encouraging. Let’s look at other international. Furniture is up 70% excluding clearance, and 12% including clearance. And on shower, we are 20% excluding clearance, and 12% including clearance. We have strong exit rates both in France and other international. In France, we have invested in price and we are seeing the growth of volume. So the July exit rate is 50% on all categories, 50% on furniture, and 9% on shower. So in the UK as I told you only 47 stores have been implemented so far, but there is - again it is in weeks and not in months, but last week results were really very, very big growth. So again, we are not cherry picking the numbers. We are looking at the overall category and what it shows is that those products are bought by the customer and they really like it. Let’s move on to another example, which is less sexy, but this picture is for front, chains and ropes, just to balance and to show you that we are giving you example of unique, but we are giving you example of unified as well that we've always said was not the biggest inching progress, but anyway was inching to rationalize our offer and to make it more efficient. This category is now implemented everywhere, we have a new packaging that is easier to shop and to replace, so again I think it’s really the two aspects, we make life easier for customers and we make the home improvement nightmare not being a nightmare anymore, as well as we are driving efficiency through the business by doing those reviews. Regards on that category 10% CPR, some of it has been investing in price, especially in Casto France. And in Casto France, despite investment we are seeing the volume growing by 13%. We've as well achieved better quality on chain as an example. We’ve achieved 85% less SKUs and we are now operating this category with free suppliers. Again, including clearance and the B&Q store closure, we are broadly flat with the availability issues that we had. What is important and why we share this category with you? Because it is highly intensive SKU category where as you can imagine clearance is quite been elastic and just to show you, even in those type of category we are managing to be with the disruption and with the clearance almost flat, B&Q as an example as in July had an exit rate of 10%. So again, we are now seeing the performance coming. So, the part of that plan as I told you was about having better offer for our customer and growing our self, but the part of this plan is how we make efficiency and we buy better. As you know, we share that with you already, we move from nine independent buying offices to one, with the same ways of working when before ways of working and processes were different. As you can imagine these naturally takes time to bed down and as we are starting to now control our end-to-end process with our own IT and design as I told you. The cost of change and the CPR are in-line with expectation and overall margin will improve, not now as we are heavy into implementation, we are dealing with clearance and as I told you we are reinvesting in some of the prices, but anyways our gross margin before clearance is 0.3%, which tells you that over time margin will grow. So that was our first pillar around the offer. Let’s move on to our second pillar with digital and IT. Again, I remind you 350 million for the offer, 50 million out of the 500 million are attached to this pillar. So the first message from me is that the united platform is a key enabler of all our digital strategy. We are on track to be completed by the end of next year as planned. And by the year-end, we will have 50% of Group sales that will be effectively on the platform. We are spinning up with our biggest topical, Brico in France and Poland as we want to add as much as sales as quick as possible. Why because as I said, this united platform is an enabler for our digital plans and digital plans are following the IT rollouts. So where are we in our digital plan? First let’s talk about B&Q, B&Q is by far the more advance of our pretty company, of course excluding Screwfix, as we have now easier in place. We’ve rolled out our one hour click & collect and click & collect is up 145% within as ONE. The group online sales are now 5%. The group where traffic has increased by 18% and the group mobile platform is going to be launched very soon at B&Q. And just to give you comparison it is going to be better than the Screwfix ONE that we know is performing really, really well. In Castorama France, we will have our new website by H2 following the implementation of our platform, our area platform. So again, we’re on track with our digital and IT plan and we are continuing those plan as fast as possible. Let’s move on to our third pillar, which is operational efficiency that represents 100 million out of the 500 million. The ID seen in the beginning was that by operating more efficiently we will become truly low-cost business. And again this is the start, but for the second year in a row we are upgrading our numbers. 55 million as Karen told you are going to be delivered by the end of this year. This is, the work we’ve done on GNFR is a combination of cost savings and ways of working that are simpler and cheaper. And this is very important because we are managing both. It’s not only about cost saving or cutting cost is really about working as one and taking the best practice in the group and outside the group to make our operation better. Just a few examples of what we’ve achieved so far. We have done the major tender buying tender and we move from eight suppliers to one, we save 10%. We’ve done our tender on travel agency as well and we have now one central tool, which is going to drive the same ways of working, it’s going to give us visibility of all the travels of the world and that I’m sure is going to be a tool to get even more efficiency in the future. And then we’ve negotiated together print and paper and we have 10%, 12% of savings using the best practice of the group. I wouldn't be complete if I was spending a few minutes to talk about people and our team. And I take the opportunity to give them a big thank you for having been so enthusiastic and supportive. As you know, and as they know, change is hard work, but we have now 77 people engaged in the transformation, passionate for home improvement, and really starting to work as one. Of course as you know, we’ve created this offer and supply chain organization. We have now a United IT platform. We have one France Board. We will have in few weeks from now, for global product show where every country is going to come to listen to our offer strategy and to see the new product merchandise as they are going to be in 2018 in the store. This is massive progress that has been done over the last six months. Last week, we had the first pilot of the home improvement academy on bathrooms, so again it is not only about the ranges, but it’s about training our people in-store to give the same customer experience. We have changed our leadership reward scheme. When I’m talking leadership it is for now the 300 people, leadership people with higher share ownership and with the objective that are much more global than local. We have good engagement score so far and we are working, we are going to implement by the end of this year a new engagement tool that is going to be real time. And despite all the transformation some of our operating company have managed to be to add good employer’s award, Screwfix, Poland and Spain, which is a really good performance and really good signal that we are managing this change properly in a good way. So, I hope you will be with me saying that ONE Kingfisher transformation is happening. As I said, this is action right now. We’ve delivered all our milestones in the first year on the plan as you know. We are fully on track to deliver the year to milestone. We are not changing our guidance, but because there is a but, we are facing our reality, which look like it is in the first big year of implementation. So what is that reality? Five areas that I would like to cover. Change is hard and pace it fast. Second one is that the impact is being felt in our performance. The third area is that we continue to learn as we progress in our new work and we adapt our approach if necessary. The fourth element is that we talked about it in our Q3 release, knowing this year would be a challenge we have plans in place to support our overall full-year performance, and an element about our environment, we remain cautious on H2 in terms of backdrop But let’s look at each of those different elements. Change is hard and the pace is fast. I have been always very transparent with you guys. We’ve always said that this year would be a big step-up and that it would be challenging. I even remember me standing up in front of you at the year-end results and saying that we were beating numbers and everybody is telling me why are you so cautious, why are you talking about next year that is going to be bumpy, that it is going to be difficult you are delivering. So in a way my message is that, nothing is surprising me in what is happening right now. We are facing differences and they were to be expected from a plan of that scale. We have the right ambition, we have the right strategy and there are some evidence, including in the number that I have just shared with you that this plan is going to deliver, but it’s about finding the right balance to ensure that we keep the business, the momentum in the business, as well as balancing the execution risk. So let’s look at what has disturbed the business in the first half of the year. Three big elements; the first of them is clearance and what we call remerchandising. As we have always told you, we’ve been changing almost 25% of the linear footage of store right now, which is compared to the 3% last year. As I said, the cost option including clearance is on line with expectations, but we do have a lot of changes in H2 with many high SKUs and low value ranges. As Karen shared already you are still in door knobs, so this is going to continue to happen. So, we have had clearance and we have had a lot of remerchandising and we will continue to have those happening during H2. The second element is about system and data. We are on this big IT change and it is happening and as you know it never happens with any issue. To be fair, for a change of that scale we didn't have many, but we have few impacts, especially in B&Q, when we turn on the supply chain at the beginning of the year, these are impacting our availability. So that has been one element of what has happened because we don't have a unified platform across the group as well it doesn't help us to add visibility on our new end-to-end process in terms of ordering, in terms of the previous sales so that doesn't help us. The data takes much longer to process, but it would, if we would have the IT platform implemented everywhere, and so that has led to some late orders on to some delays, something I have referred previously. And the third big element that have created disruption is new processes. It’s still - we are still in the learning curve for OSC and suppliers. Let’s be fair. The OSC has been up and running in June last year if you remember. So it’s not that long. It is completely new way of working with new tool and we stood that are not fully complete yet, especially in every call and that is creating some disruption as well. Last year was the first year. So what do we do this year? Is we are improving processes that needs to be improving and we are on track to deliver that, I think I will come back to that when I’m going to talk about transformation, but as we learn we are improving definitive processes. And now end-to-end process as I describe it to really, the customer needs and the research of customer to really delivering product to store or to the home of customer is much longer than what it was before when basically the stores were passing orders themselves to supplier. Now we are really owning the end-to-end supply chain, which is going to be a benefit in the future and we start to see the benefit coming through, but it’s far more complicating and more - and longer to modify if it needs to be modified. So, all in all we estimate that the impact although different element is around 2% in terms of like-for-like. Just wanted to tell you that and to show you that we understand the root causes of our business disruption and let me now share with you how we are acting on them because clearly we are seeking to minimize disruption, as much as much as we can. Two ways really where we are adapting our approach as we progress and we are smoothing those business disruptions. First element is governance. We’ve now set up transformation and we are running transformation centrally. Steve Willett is running it with up weighted teams really. So we structure a small team that is looking at transformation across the group and piloting it. And the way we do this is we are now treating transformation as IT release. What does that mean this is a little bit of [indiscernible] but we are looking at grouping things that makes sense from an implementation point of view such as rent implementation, changes in processes, or even IT implementation. And we are grouping those activities so from an implementation point-of-view they fit together. What we call really the one is about removing the pain pointed that we’ve suffered in the H1, we are going to implement that release one now and we are already working with release one and release two. And the second way of adapting is really to prioritizing things as we move on. Few examples in the way we are prioritizing and re-phasing. First, in the IT rollout we are pulling forward the larger up call in H2 of this year as they were planned beginning of next year, especially because we want to have the biggest part of the sales on two of the group on to the IT platform, and we are working right now on implementing Castorama Poland and looking at Brico Depot in France as well. Another example, which is the other way around is that we did say the unique bathroom launch in B&Q in H2 why? Because we had the availability issue in France because we - I would share with you the numbers are really good and the customers are buying and to be fair we didn't plan enough quantity and instead of replicating the issue into the UK we prefer to solve the availability issue that are solved right now and implement the bathroom in H2 into B&Q, which is happening right now. Another thing that I wanted to share with you is, it is very important you remember the plan, the phasing from the cost perspective it was 5% [ph] and 20% next year the initial numbers were 55%. And as you know by the end of the plan, we would have unified 90% of our ranges. Actually for next year we’ve re-phased the plan because we thought that the 55% was too ambitious from an implementation point-of-view and we are re-phasing right now around 40% for next year. We are not changing the end target at all, but we are re-phasing it slightly. So, I think I’m done with the pillar and the transformation and we are on it. I wanted to anyway talk a little bit about our year-end. As I told you, we knew that the year will be full of challenges and of course we have planned accordingly. We have plan in place to support our overall full-year performance, which means that we remain comfortable with our guidance, we remain comfortable with the full-year underlining EPS consensus. So everything that is in our hands we are dealing with it because we know the environment and we knew what was going to happen. Having said that, they are seeing that happening externally and we remain cautious on the backdrop. Two reasons, as we all know UK is more uncertain that it was when we started the year. We have mixed macro and housing indicators. We have higher inflation that we have had for the last few years. We have a lower customer confidence. We have higher mortgage approvals. So a lot of dynamics that make us feel less comfortable. France, in France we have continued weaker sales and we are underperforming the markets as I shared with you six months ago, but we have signs that the ONE Kingfisher is starting to address those issue and these sort of performance. Again, as I told you we are not doing some tactical short-term fixes, but the new offer is driving encouraging self and volume growth. I gave you some concrete example in bathroom, but we are starting to see that coming through. Digital, this is still one of the biggest issue in France. The wet size for the customers, but the strong IT rollout is on track and as I told you we’ve now implemented this in end every single stores, hence we are going to launch the new French website before the end of this year. And we are seeing good and big growth on the web in B&Q, which will soon lend in France. And price, on the back half of our new offer and on the CPR that we are generating from the unified work we are - we’ve invested in price in France and we are gaining right now traction. The price perception and the index has been improving by four points in Casto over the last six months. So we come to the conclusion right now, and just ONE Kingfisher is being delivered, and I hope you will be with me after these explanations and of course we are dealing reality, but we are facing the issue. None of the issue that’s happening right now are new news to us. That was expected, but we have to go through it and we have to solve them and this is what we do right now. And we continue to learn as we are moving forward. As I told you in H2, we will have high SKU count and we are going to learn how to do this better, but we are now managing the transformation overall and all of this is under control. So, if I summarize as planned, we had a significant step-up in the level of transformation activities, but as I said that was expected. We had some business disruption and continued weakness in France, but this is offset by our internal plan and our self help plan. We are really acting on the root cause of the business disruption and we are solving issue as they are coming. We are adapting our approach as we progress. I think to remain flexible in such a big transformation is a key thing. We are on track to deliver our this year milestones and our consensus. So, we are on track to deliver, but we are remaining cautious on our H2 backdrop. And if I’m looking at our overall plan, we are confident in our ability to deliver our five-year plan, hence the benefits that it will leverage. Thank you very much, and we will have the opportunity to answer questions later on. Thank you.
Q -: